Operator: Welcome to the Onex’s Fourth Quarter and Full-Year 2016 Conference Call. My name is Nicole and I will be your operator today. During the presentation all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. I would now turn the conference over to Ms. Laura Carrigan, Director, Investor Relations at Onex. Please go ahead.
Laura Carrigan: Thank you, Nicole. Good morning, everyone and thank you for joining us. We’re broadcasting this call live on our website. With me today, are Bobby Le Blanc, Chris Govan, and a number of our managing directors. The 2016 MD&A and consolidated financial statements are available on our website and have also been filed on SEDAR. Our supplemental information package, which includes the How We Are Invested schedule, Schedules of Fees and Expenses and additional information, is also available on our website. Before we get started, just a reminder that all references to dollar amounts on this call are in U.S. unless otherwise stated. I must also remind everyone of the usual forward-looking statements disclaimer and need to point out that all information relating to the fair value of our private companies is the view of Onex management. In addition, later in this call, we’ll reference certain credit offerings including collateralized loan obligations, or CLO offerings. We’re required to remind you that these offerings are made solely to qualified institutional investors and to certain non-U.S. investors in private transactions not requiring registration under U.S. Securities Laws. The securities are not and will not be registered under U.S. Securities Laws and cannot be offered or sold in the U.S. without registration or exemption. Lastly, we’d like to let you know that our Annual Investor Day will take place in Toronto on June 15. Should you be interested in attending, please contact me for more details. With that, I’ll now turn the call over to Bobby.
Bobby Le Blanc: Thanks, Laura, and good morning, everyone. I’ll spend some time this morning reflecting on our performance in 2016 and our activities so far this year. But first, let’s take a look at what we’re seeing in the markets. This past year was ending the quiet for the equity and credit markets. Despite many political surprises, global equity markets improved over the course of the last year. The U.S., Canadian and U.K. industries were all up more than 10%. This momentum has continued into 2017 and investors seem cautiously optimistic for the year ahead. The credit markets also continue to function well in spite of a rising rate environment, geopolitical uncertainties and potential U.S. tax changes under President Trump’s leadership. The strength of both the equity and credit market has caused acquisition multiples to creep higher. Private equity transaction multiples were nearly a turn higher last year relative to 2015. Not surprisingly global and U.S. private equity activity was down meaningfully. The IPO markets also had a sluggish year. In the U.S., IPO activity was down 25%. In fact the number of PE-backed IOs hasn’t been this low since 2009. In spite of this, we recently took Jeld-Wen public, more on that in a few minutes. With that as a backdrop, let me take you through some of our highlights for 2016. We invested or committed to invest $2.9 billion in five new businesses including the pending acquisition of Parkdean. Onex’s share of this amount is approximately $900 million. As you know, private equity is an episodic industry and we had a number of opportunities come to fruition in the back half of last year. Our activity was the direct result of years of diligence, industry research and relationship building. The acquisition of Save-A-Lot is a great example. In 2010, we identified the retail segment as an area we wanted to cover and have been tracking Save-A-Lot since 2013. Matt Ross and the team did a great job leading this complicated carve-out. We’re also excited about Parkdean. The company, which is one of the largest caravan holiday park businesses in the U.K. owns and operates 73 parks, and sells more than 500,000 holidays to 2 million customers a year. It offers a wide range of accommodations from caravans to camping pitches to chalets, apartments and lodges. I personally visited more than 25 Parkdean sites and was very impressed with the locations and guest offers. We like the business for several reasons. Parkdean’s customer base is very loyal and there is a high degree of VP business. The holiday park market in the U.K. is quite resilient. In good economic times, price conscious consumers trade up from staying with friends and families. In downturns, largely better-off consumers trade down from overseas holidays to stay domestically. This is a nuance that we really like about the business. As usual this investment has a number of Onex like characteristics to create value particularly related to operational improvements and add-on acquisitions. Tony Morgan, who spearheaded the acquisition, has known this business and the CEO, John Waterworth for more than 10 years. In fact Tony was a member of its board when he worked for Alchemy Partners in the U.K. So, we’re really excited to be part of John and his management team, who have made a significant financial commitment alongside of us. Turning to fundraising. We successfully raised $1.1 billion for ONCAP IV, our latest middle market private equity fund and a single close that took us only two months. Onex as always is the largest LP with $480 million commitment. Moving on to 2016 highlights related to our credit platform. Assets under management increased by 15% to $7.5 billion this growth, was primarily driven by two new U.S. CLOs. In this month, our 13 CLO began its warehousing process. And we expect that to contribute to our AUM in 2017. We also announced plans to launch a direct lending platform and we plan to share more details about this product with you at Investor Day. On the realizations, since the beginning of last year, Onex and our partners received $1.7 billion from realizations and distributions, of which Onex’s share was about $460 million. This includes Jeld-Wen’s IPO in which $661 million was raised at the $23 operating price. Since the IPO, the shares have traded well closing at 30.79 yesterday. This share price implies a multiple capital of three times. The strength of some of our businesses combined with the open credit markets allowed us to collectively raise or refinance a total of $4.3 billion of debt. This contributes to Onex’s partners’ receiving distribution of $505 million. We also continue to invest in and build our team. Across the firm, we promoted eight investor professionals including Amir Motamedi, to Managing Director. We developed most of our own talent at Onex and believe this is on the secrets of our long-term success. Finally, our distinctive ownership culture requires Onex management to have a significant stake in Onex shares and to make meaningful personal investments in everything we do. Today our team has $1.9 billion invested in our shares, operating companies and credit platform. This financial alignment is critical to our culture and overall success. We all share in the risk rewards of everything we own. I’ll now hand it over to Chris.
Chris Govan: Thanks Bobby and good morning everyone. My comments this morning will provide an update on Onex’s Q4 performance relative to our shareholder value model. This model illustrates how we expect to meet our long-term targets of 15% annual growth in capital per share. As a reminder, our target is based on being about 75% invested, generating blended returns from private equity and credit in the high teens and benefiting from the positive operating leverage, we expect our asset management platform to provide. Let’s first look at the mix of our assets. Quarterly changes in our asset mix are driven by Onex’s net investment activity both on private equity and credit. Q4 saw close - two significant investments, Card A [ph] and Save-A-Lot. The capital put to work in these businesses net of a little over $100 million of distribution primary from Jeld-Wen and Hopkins increased Onex’s private equity exposure by about $500 million. At credit, there was $21 million net decrease in Onex’s investments mainly as a result of the regular quarterly distributions from our CLO. Overall, Onex’s cash decreased from 34% to 25% of hard NAV during Q4, putting it in line with our model. Bobby mentioned a couple of significant 2017 events that affect our asset. Onex received $40 million as a result of the Jeld-Wen IPO in late January and expects to invest $170 million when Parkdean closes later this quarter. If you pro forma the quarter end numbers for these two transactions, cash as a percentage of hard NAV fall to 23% bringing Onex to 77% invested. We’re happy to have made significant progress in getting Onex’s cash working. But that’s only half the battle. The other very important half is generating attractive risk adjusted returns. So let’s look at our Q4 investment returns by reviewing the quarter-over-quarter changes and how we are at invested schedule. Looking at that schedule you’ll see the year-end investment in Onex Partners’ private companies was $576 million greater than at the end of Q3. This was primarily due to the investment activity I discussed earlier but also includes over $46 million of value generated at our operating companies or about 2% quarterly return for Onex. For all of 2016 private equity generated 7% return for Onex Corporation. Our exposure to Onex Credit also contributed meaningfully to NAV growth in the quarter. A net return of $46 million. That includes $39 million of mark-to-market gains from our CLOs as the leverage loan market continues to perform. We’re happy to note that all of the CLO mark-to-market losses we experienced in the second half of 2015 have now reversed but as you know, we look at our CLOs from a cash flow perspective. Things continue to play out according to plan in that respect. Onex received distributions from its existing CLOs of $19 million in the quarter bringing aggregate distributions to $73 million for the year. On a cash basis that’s a 16% yield on our original cost of about $460. Looking at the schedule as a whole, our hard NAV per share at quarter end was $58.56 or based on yesterday’s exchange rate CAD76.74. Over the course of 2016, our U.S. hard NAV per share grew by 8%. My comments so far focused on the $6 billion of capital we manage on behalf of Onex shareholders. But our shareholders also benefit from the $18 billion we manage on behalf of fund investors. We expect the management of this third party capital to provide a positive contribution to hard NAV growth over time or what I call operating leverage. The schedule of these expenses details the revenue and expense items for Onex and its asset management platforms and provides one way of measuring our operating leverage. On this basis our PE asset management platforms were just about breakeven in 2016 while credit contributed $19 million up from $15 million last year. The overall contribution including the parent company came in at negative $16 million. I’ll make a couple of comments around these results with a view to providing you some color on what to expect going forward. As discussed on last quarter’s call, we expect the $93 million of LTM private equity fees reported for Q3 to represent a short-term trough. With these from ONCAP IV proving since November, you see that’s starting to play out. LTMC’s moved up to $96 million and run rate PGs were $110 million at year-end. And pro forma for the investment in Parkdean, Onex Partners IV is now over 75% invested in reserves typically the level at which we start to focus on raising our next fund. Before I move on a few comments around carried interest. We report carry on this schedule on a cash basis which is conservative but it also maps significant value that has been created. At quarter end, Onex’s unrealized carried interest stood at $197 million with $33 million value generating during the year. When we choose to realize on our investment and its associated carry is not easy to predict but it’s also not something that should be surprising. Our realization of that is typically tied to the progress we’ve made executing on our investment thesis as it was with the IPO of Jeld-Wen. This transaction resulted in Onex receiving $6 million of the accrued carry and with our fund investors still holding almost 40 million shares, there is about $55 million additional carry at the IPO price that maybe realized over time. The point of all that is the net contribution from our asset management platforms, we’ll move up and down from year-to=year depending on realization activity within PE. However, with run rate annual feels from PE and credit of 150 million and a $197 million of accrued carry. Going forward, we expect the contribution from the asset management platforms to be a positive. Operating leverage will contribute to our long-term NAV per share growth. We believe Onex’s share should reflect both the growth and the value of our investment and the growing contribution from managing fund investor capital. Over the past five years, our hard NAV per share has grown 10% CAGR while our fee generating AUM has grown 15% per year. Happily, these results are translated into returns to our shareholders over the same time frame with a stall compounding at 16% per year on U.S. dollar terms. That completes my comments. And we’d now be happy to take any questions.
Operator: [Operator Instructions] Your first question comes from the line of Geoff Kwan - RBC Capital Markets.
Geoff Kwan: Hi, good morning. Chris can you just clarify, I think our, I came in with results maybe Bobby mentioned it. But the OP IV you guys are at the 75% interest is what you said, is that correct?
Chris Govan: We’re over 75% invested in reserve Geoff.
Geoff Kwan: Okay, perfect. And then on the kind of the deal pipeline, can you kind of talk about how you feel about it today and if there is any sort of impact given what’s going on in the U.S. kind of broadly speaking if that’s having any impact positive or negative?
Chris Govan: Yes, so last year, the deal flow on a number of things that we looked at basis was lower than in 2015 but our yield in terms of how many we closed was actually quite relative to historical norm. The pipeline is okay, right now, the political environment in the U.S. 50 rated to tax and how it impacts our businesses is in flux. I think President Trump’s made it clear he wants to lower the corporate tax rate and we pay for that as a country is yet to be seen. You’re supposed to come out with plan in the next couple of weeks. There has been talk about capping or like elimination of interest reduction abilities there has been talks of factoring in foreign labor, providing services to domestic companies and deductibility of CapEx and a bunch of other things. We are aware of all these things, we run sensitivity analysis but we’re just not quite sure where this all shakes out. In a low rate environment like business this is matter of fact, if you have a business that’s generating decent free tax income depending on where the corporate tax rate shapes out made me a net positive even if he takes [indiscernible] into deductibility. So it’s all inflexed we’re well aware of it. But it really hasn’t impacted too much the level of deal-flow we’re seeing at the industry.
Geoff Kwan: Okay, yes. That’s what I was kind of getting at was whether or not the tax issue was maybe stalling overall activity. And once you get clarity, things may start to pick-up or from what you’re seeing it’s having a big of an impact but maybe not due too much. Is that kind of a fair?
Bobby Le Blanc: It’s pretty much neutral impact right now. We really haven’t noticed a meaningful change in behavior.
Geoff Kwan: Okay. In the cash as a percentage of NAV, right now as you mentioned it’s a little under, 25%. What kind of - can you remind me what level of comfort that you guys as to where you think is kind of the sweet spot. And then the other question I had is, how do you guys think about or what’s the right way to think about the return on that cash because I think it’s cash as well as Jeld-Wen Onex credit partners. I recall, I think from old-old presentation back in 2010 you guys had made assumptions around 3% and obviously interest rates are much large. So if you can maybe provide some comment?
Chris Govan: Yes, sure, Geoff. I think in terms of a sweet spot, our cash balance is going to move up and down with what I think of as sort of our investment and realization cycles. I think that 20% to 40% feels like a pretty good number to try to target through the cycle. So we certainly are comfortable being below that. And we know that will go through another cycle where we hopefully have a lot of successful realizations. And we’ll find ourselves with cash above that. That’s just part of being a private equity investor. So It’s really hard to give you a definitive answer in terms of how low we can go. But certainly we’re not at a point where we’re uncomfortable with our cash balance today.
Geoff Kwan: Okay. And then on the return on cash?
Chris Govan: Yes. So, as the cash balance has gone down, we have tweaked how we’ve allocated that cash. But for the most part the cash today is in very low yielding investment, earning low double digits in terms of basis points of returns. Historically we’ve had some meaningful exposure to some long-only senior credit loans that at Onex credit that we’re providing more return around 3.5%. But today’s its fairly low yielding. Maybe on our combined basis in the 50-basis point range.
Geoff Kwan: Okay, okay. And if I can maybe sneak in one last question. I mean the stock is gradually making its way up to $100. Just, do you have any kind of consideration, they’re all preferences to whether or not you would ever kind of split the stock. I think the last one, I remember correctly it was probably around 2,000?
Bobby Le Blanc: Yes Geoff, we haven’t had any conversations around a stock split, so that’s not something we’ve done.
Geoff Kwan: Okay, great. Thank you.
Operator: Your next question comes from the line of Paul Holden with CIBC.
Paul Holden: Thank you, good morning. First question is for Chris. So we’ve see the company invest in the size of his team over the last couple of years which has resulted in some higher expenses for the private equity side of the business when we look at the schedule fees and expenses. So just wondering how we should think about that level of investment going forward if we’ll continue to see the same rate of interest or if it’s going to sort of level off here?
Bobby Le Blanc: That is always a little hard to predict in terms of exactly how we’re going to grow the team and it actually has a lot to do with how our team performs because as you know we grow the team internally for the most part. And so the size, the theme ultimately ends up being a function of our ability to retain train and really kind of create if you will the yield generating investors for our private equity platform. But you’re right. We have invested in the team both at Onex Partners and ONCAP over the last little while. And you’re seeing that result in the SOFE. Just in terms of pure headcount in the private equity platforms there is 20% more investment professional than there were two years ago. Such a shear headcount. But as I alluded to, the other thing that’s happened is the team’s grown if you will from an experience perspective and we now have maturely more generating investment professionals on that team. And as you’ve said that’s manifested itself both in putting a lot of money to work over the last couple of years but also quite frankly in our ability to raise a larger ONCAP funds. So we think the investment is paying dividend. And we actually, again, we hope we can continue to invest in the team because it’s actually a sign of success.
Paul Holden: Okay, okay. And any commentary you can provide around share repurchases and any particular reasons why no stock repurchase in Q4 versus your historical track record?
Bobby Le Blanc: Sure, yes. I think you’ve probably heard us say before that we think about the normal course issuer bid as I’m sure a lot of companies do, it’s sort of a capital allocation decision. When we think about buying back stock, one of the biggest factors for us is what other investment opportunities do we have in front of us. And if you look back at the activity late last year and typically in Q4 we had a lot in the pipeline, a lot of opportunities to invest. And as you know we’re always working on other opportunities that you all don’t see, including we had a late stage opportunity that we ultimately passed on. On top of that, going back to some of our earlier comments, Onex is going to be in a position where it’s likely going to have to make a commitment or to Onex Partners V at some point in the not too distant future. And so all of that just sort of led us to really slow down the normal course issuer bid in the near term.
Paul Holden: Understood, okay, that’s helpful. And then, is there any kind of update you can provide us on the returns you’re seeing from the CLO portfolio given 2016 was a much improved year versus 2015, are you kind of running around that 12%, 13%-ish target?
Bobby Le Blanc: That’s a good question. The CLOs are performing as we expect in terms of distribution probably performing better than we expect in terms of, they are performing better than we expect in terms of underlying credit issues. But the way I see it really works, if you kind of don’t know your actual return from the CLO so you ultimately realize and close out that CLO with the back-end. But sufficed to say given that the credit quality is performing in line with our model, we continue to expect that the ultimate returns from our portfolio of CLOs will play out consistent with sort of those low double-digit returns.
Paul Holden: Okay, fair enough. And then, one last question, I’m wondering if someone can provide some commentary around Carestream and sort of the strategy going forward with that business, gross profit even adjust FX is kind of trending lower, not significantly but lower versus higher. So just wondering if there are some thoughts around that business?
Chris Govan: Yes, foreign exchange has been a headwind for Carestream. And we are constantly thinking about the best way to monetize our remaining value within Carestream and whether that’s breaking up the business into pieces or other methods. But the digital side of it is performing well, the film business is performing reasonably well. And foreign exchange particularly had a tough impact on the medical digital side last year.
Paul Holden: Okay. That is all of the questions I had. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Scott Chan with Canaccord Genuity.
Scott Chan: Good morning guys. Just on OP IV, so the in fact it’s over 75% invested right now, does that mean no fund-raising can start for OP V, and has it started for OP V?
Chris Govan: So, I can answer the technical question. Under the terms of our LPA we can close on a subsequent fund, once the prior fund is 75% invested or committed. But as you know, private equity funds are private placements, I’m probably not using the right technical term. And we’re really not in a position to speak any more about it.
Scott Chan: Okay. Just switching over to credit, the European CLO I, is there an update on that fund? It seems like it’s been kind of warehoused for a while from what I can see?
Bobby Le Blanc: No, pardon, that’s other than to say we continue to grow our warehouse positions. And we’re getting closer. So that’s about all I can add to that. And as what we’ve said before and hopefully we’ll have something more tangible in the not too terrible distant future.
Scott Chan: Okay. And, Chris, just on how we’re invested in terms of the ONCAP portion for ONEX position, I saw it dropped down to $402 million, down 7% quarter-over-quarter, and I saw distribution as well during the quarter. What caused the drop? I may have missed it, but if you can maybe just comment on that drop sequentially it would be really helpful?
Chris Govan: Yes, that really is just a result of the final closing I’ll say of the Tecta investment where there was co-invest that was warehoused for a short period of time on the Onex balance sheet.
Scott Chan: Okay. Thank you.
Operator: And there are no further audio questions. I would now like to hand the conference back to Mr. Bobby Le Blanc for closing remarks.
Bobby Le Blanc: Thanks everyone for the time. If you have any questions please feel free to reach out to Emma or Laura. And we hope you’ll have a nice weekend. Thanks a lot.
Operator: This does conclude today’s conference call. Thank you for your participation. And we ask that you please disconnect your lines.